Operator: Greetings, and welcome to the Fair Isaac Corporation Quarterly Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today, Thursday, January 30, 2020. I would now like to turn the conference over to Steve Weber. Please, go ahead.
Steve Weber: Thank you. Good afternoon, and thank you for joining FICO's first quarter earnings call. I'm Steve Weber, Vice President of Investor Relations; and I'm joined today by our CEO, Will Lansing; and our CFO, Mike McLaughlin. Today, we issued a press release that describes financial results compared to the prior year. On this call, management will also discuss results in comparison to the prior quarter in order to facilitate understanding of the run rate of our business. Certain statements made in this presentation may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. Those statements involve many uncertainties that could cause actual results to differ materially. Information concerning these uncertainties is contained in the company's filings with the SEC, in particular, in the Risk Factors and Forward-Looking Statements portions of such filings. Copies are available from the SEC, from the FICO website or from our Investor Relations team. This call will also include statements regarding certain non-GAAP financial measures. Please refer to the company's earnings release and Regulation G schedule issued today, for a reconciliation of each of those non-GAAP financial measures to the most comparable GAAP measure. The earnings release and Regulation G schedule are available on the Investor Relations page of the company's website at fico.com or on the SEC's website at sec.gov. A replay of this webcast will be available through January 30, 2021. And now, I'll turn the call over to Will Lansing.
Will Lansing: Thanks, Steve, and thank you, everyone, for joining us for our first quarter earnings call. I'd say we're off to a good start, delivering growth across our portfolio and also delivering innovation. In our first quarter, we reported revenues of $299 million, an increase of 14% over the same period last year. We delivered $55 million of GAAP net income, up 37%; and GAAP earnings of $1.82, up 38%. On a non-GAAP basis, the $1.80 earnings per share was up 24% from last year. And we delivered free cash flow growth as well, up 27% from fiscal 2019. On the software side of our business, the innovation we're bringing to market is gaining traction among companies eager to use analytics-driven decisioning to solve their most difficult problems. At FICO World in November, we hosted more than 1,400 attendees, representing 600 companies from 62 countries. During the conference, our solution specialists held close to 1,100 consultations. We sat down with customers and potential customers to understand their business issues and explain and demonstrate how FICO's advanced analytics, digital decisioning and dynamic workflows can transform their business. The innovation on display at FICO World continues to translate into robust sales in our software business. We had another good bookings quarter at $112 million. The $49 million of DMS bookings was the second largest quarter, after last quarter's $61 million, in FICO's history. That means we've booked about $110 million in DMS business in the last two quarters. I'm convinced we're developing software at the same time demand is emerging for analytic-based decisioning software. In our Scores business, we had another good quarter. Scores were up 34% in the quarter versus the prior year. On the B2B side, revenues were up 46% over the prior year. Our B2C revenues were up 11% versus the first quarter of 2019. We continue to see strength throughout the Scores marketplace. We also announced some innovations in our Scores business, the release of the FICO Score 10 Suite. The suite has two new scores. FICO Score 10 relies on credit bureau data and is consistent with previous FICO Score versions that are in the market today. It reflects a normal model development cadence, extending features that were introduced in FICO Score 8 and FICO Score 9. FICO Score 10 is designed to be backward-compatible with previous Score versions. FICO Score 10T incorporates a broader set of credit bureau data, including trended data, which captures unique aspects of the consumer's financial profile over time. While the blueprint design is similar, it uses new characteristics to enhance predictive power. Both FICO Score 10 and FICO Score 10T demonstrate greater predictive power over all previous versions of the FICO Score and were developed on recent data sets. By adopting the FICO Score 10 Suite, a lender can reduce the number of defaults in its portfolio by as much as 10% among newly originated bank cards, 9% among newly originated auto loans compared to using FICO Score 9. The reduction in default is even higher for newly originated mortgage loans at 17% compared to the version of the FICO Score used in that industry. These improvements in predictive power can help lenders safely avoid unexpected credit risk and better control default rates, while making more competitive credit offers to more consumers. We believe this type of innovation, which we've developed with significant feedback from the lending community, will significantly increase performance and allow the industry to expand loans and revenue, while not increasing losses. We will continue to update you on this and other score innovations that we'll announce in the coming months. I'll talk more about how we see the year playing out, but first, I'll turn the call over to Mike for further financial details.
Mike McLaughlin: Thanks, Will, and good afternoon, everyone. FICO's total revenue for the quarter was $299 million dollars, an increase of 14% over the prior year. Breaking that down into our reported segments, our applications revenues were $152 million, up 3% from the same period last year. This increase in revenue was driven by higher professional services revenues as well as higher usage-based software revenues. Software applications bookings for the quarter were $56 million, down 6% from last year. In our Decision Management Software segment, Q1 revenues were $31 million, up 8% over the same period last year. This increase was primarily due to services and usage-based revenues in our Decision Management platform. DMS bookings were $49 million in Q1, up 56% from the previous year, which, as Will pointed out, is the second highest booking quarter in this segment's history at FICO. Finally, our Scores segment revenues were $115 million, up 34% from the same period last year. The B2B portion of our Scores segment was up 46% over the same period last year. And B2C revenues were up 11% -- B2C revenues were up 11% from last year. We had strong volumes throughout the Scores vertical and also signed an annual licensing deal worth several million dollars that was all recognized in the first quarter due to the new ASC 606 accounting rules. In our first quarter, 76% of total revenues were derived from our Americas region. Our EMEA region generated 16%, and the remaining 8% was from Asia Pacific. Looking at our revenue by type for the quarter. Recurring revenues derived from transactional and maintenance sources represented 74% of total revenues. Consulting and implementation revenues were 15% of total revenues, and software license revenues were 11% of the total. Revenues derived from our cloud-delivered software-as-a-service products were $74 million for the quarter, which included $57 million in transactional software revenues and $17 million in professional services, an increase of 16% from the previous year in total. Bookings for the quarter totaled $112 million, up 5% from last year. These bookings generated $16 million of current period revenue, a 14% yield. SaaS bookings were $37 million for the quarter, down 16% from the previous year. Our operating expenses totaled $247 million in this quarter, up $11 million from the prior quarter; due primarily to expenses associated with FICO World in November and increased personnel costs. We also incurred about $3 million in restructuring costs related to headcount reduction actions taken during the first quarter. Our non-GAAP operating margin, as shown in our Reg G schedule, was 27% for the quarter. GAAP net income this quarter was $55 million, up 37% from the prior year. Our non-GAAP net income was $54 million for the quarter, up 23% from the same quarter last year. As you will see from our non-GAAP reconciliation, we had a large reduction to income tax expense this quarter of $22 million or $0.73 per share associated with excess tax benefits, resulting from stock-based compensation activities. This left us with an effective tax rate of negative 31%. As we said last quarter, we expect our effective tax rate, inclusive of excess tax benefits, to be around 16% to 17% for the fiscal year. FICO's free cash flow for the quarter was $54 million compared to $42 million in the same period last year. Free cash flow for the trailing four quarters was $248 million. Turning to the balance sheet. At the end of the quarter, we had $111 million in cash. This is up $5 million from last quarter due to cash generated from ops, partially offset by $60 million in share repurchases. Our total debt face value today is at $930 million, including $95 million outstanding on our revolving line of credit. Our debt has a weighted average interest rate of 4.57%. During the quarter, we issued $350 million of callable notes, which will mature in 2028. The fixed rate on those new notes is 4%. Proceeds of the notes were used to repay a portion of the revolving credit facility. We anticipate drawing on the revolving credit facility to pay for the $85 million maturity of senior notes that is coming due in July. And turning to return of capital. We bought back 168,000 shares in the first quarter at an average price of $356 per share. Total cash used for buybacks, as I mentioned, in the quarter, was $60 million. At the end of December quarter, we had about $160 million remaining on the board repurchase authorization. And finally, we are confirming our previously issued full year financial guidance for fiscal 2020. With that, I'll turn it back over to Will for his thoughts on FY 2020.
Will Lansing: Thanks, Mike. As I said in my opening remarks, I believe we're well positioned for success as we move into 2020 and beyond. Our Scores business continues to excel, and we work hard to get feedback from lenders and regulators to make sure we provide analytics to protect the safety and soundness of lending decisions. On the software side, we're producing higher bookings and building a backlog of recurring transactional revenue. We continue to look for innovative ways to serve our customers and improve efficiency in our business. We do all of it with an eye toward building shareholder value. I'll now turn the call back over to Steve for Q&A.
Steve Weber: Thanks, Will. This concludes our prepared remarks, and we will now take your questions. Operator, please open the lines.
Operator: Thank you very much. [Operator Instructions] One moment please for our first question, and it comes from the line of Bill Warmington with Wells Fargo. Your line is open.
Bill Warmington: Good evening, everyone.
Will Lansing: Hey, Bill.
Bill Warmington: So the first question I wanted to ask was about the strong license revenue on the Scores side of the business. You normally don't see a lot of license revenue in Scores, and just want to ask for some detail on that?
Will Lansing: Bill, I wouldn't read too, too much into it. It was – we did one larger deal and the way it was structured was as a license, and so we got a disproportionate pop there, but I would not read all too much into that.
Bill Warmington: Okay. And then on the Scores business, you guys have talked about special price increases. We've seen a couple over the past two years in mortgage and in auto. Have you guys put through a special price increase in January? And if so, maybe you could talk a little bit about it?
Will Lansing: Yes, we have. And it's just gone into effect, and so we really haven't had an opportunity to read the results yet.
Bill Warmington: Okay. Are you feeling good about it so far?
Will Lansing: Well, I always feel good about our business.
Bill Warmington: Is it perhaps in the credit card portion of the business?
Will Lansing: Some credit card is affected, yes.
Bill Warmington: Okay. Okay. Switching over to the software part of the business. Today, all of your APIs are inward facing, meaning that your internal developers are using those tools to build applications on the DMS platform. Is the plan to make those APIs available externally? And if so, what kind of time frame?
Will Lansing: Bill, that is a great question. A lot of insight in that question. We very much plan to turn our APIs so that they're outward-facing, eventually. That's probably, realistically, an 18 to 24-month time frame before we can do that. The advantage of it, the strategy behind it is, as you know, we're taking our solutions, which are mostly financial services-oriented, we're getting them onto the platforms that we have multi-tenant, standardized, highly configurable solutions with real returns to scale. When we can turn the APIs outward, a bunch of good things happen. First, we can enlist partners to do customization beyond the API so that it's not our job. It becomes that of VARs and resellers and others who help us to get that done. Second, we'll be able to move into verticals beyond financial services, where we don't have a sales force but where there's an appetite. And I would say that's true for all B2C companies. Any B2C company that wants to get into data-driven decisioning and optimizing their consumer interactions, which tend to benefit from [Technical Difficulty] platform. The outward-facing APIs will let them have vertical custom kinds of solutions based on our platform. But it's very much our strategy. Frankly, it's an inflection point for our software business when we achieve that.
Bill Warmington: And then I just wanted to ask a question on the SaaS bookings, on the $37 million, that those were down on a year-over-year basis. Is that CCS impact? Or is something else impacting that?
Mike McLaughlin: Bill, it's Mike. There's nothing particularly noteworthy in terms of where that shortfall is relative to typical bookings pattern. It's a reflection of the fact that bookings are relatively lumpy in our business and this is our seasonally slowest quarter in terms of bookings. As you know, it's typically kind of high-teens to 20% of full year bookings that come in, in the first quarter. So if you combine a relatively lumpy business, i.e., lots of large deals with the smallest sample set being the lowest seasonal quarter, just the chances for an aberration that doesn't have sort of long-term statistical significance is high. And that's how you should think about this. We continue to feel good about how that business is growing in terms of external demand and booking pipeline. So I think it's a -- I think it's just a one-off this quarter.
Bill Warmington: Yes. And then last question for me, if I could. The FICO 10 and the FICO 10T, your thoughts on when the GSEs are going to actually adopt those?
Will Lansing: Boy, that's a little hard to say. We certainly expect these courses to be in the consideration set.
Bill Warmington: All right. Well thank you very much.
Operator: Our next question comes from the line of Manav Patnaik with Barclays. Your line is...
Manav Patnaik: Thank you, good evening guys. Just to follow-up on the Scores pricing, I know you said some card and you did something in January. But is the mortgage and auto pieces that you did in the prior two years, are those fully cycled through, or is there incremental opportunities there still there?
Will Lansing: I think you should think of them as being fully cycled through, to use your words. It's been in place for a while now.
Manav Patnaik: Okay. And then just, I guess, on the B2C side, I mean, that was some -- 11% was a pretty good number. Are there -- is it pretty broadly diversified? Or is that your experience in relationship? I was just hoping you could give us some more color on the trends you're seeing there?
Mike McLaughlin: Yes, it's broadly diversified, Manav. There's again, nothing that really sticks its head up as being -- as a single explanation. But it's both our own platform and the third-party relationships we have.
Manav Patnaik: Got it. And then just, Mike, maybe on the margin front, hoping maybe if you could just help us with the moving pieces there like how much of it was maybe the FICO World impact to your point, timing and lumpiness in software, obviously, can be all over the place. How should we think about the progression through the course of the year?
Mike McLaughlin: Yes. So we talked at the end of last quarter about 2020 being a year where we're going to begin to focus on turning the margins more favorable. In this quarter, we took a relatively small restructuring charge associated with headcount reduction. Most of the financial impact of that won't be realized -- financial benefit from that won't be realized until the second quarter and beyond. But we do expect that benefit to materialize. In the first quarter, we also had FICO World and of course that restructuring expense itself. And if you take those out, probably 4% of our expense growth on an OpEx basis was due to those things. And so we're still growing OpEx at a rate that is double-digit, but lower than income -- lower than revenue growth. We expect as the year progresses, as we gain some more efficiencies and focus more on cost that the operating leverage, the difference between revenue growth and expense growth will be greater than that. But you're not seeing much of it yet in the first quarter.
Manav Patnaik: Okay. Got it. Thank you guys.
Operator: [Operator Instructions] Our next question comes from the line of Jeff Meuler with Baird. Your line is open.
Jeff Meuler: Yeah. Thank you. Can you just remind me, it's the company's typical methodology to adjust the full year guidance as warranted past second quarter for special pricing as a bit more time has passed, we shouldn't read anything into just maintaining this guidance in terms of the implementation of how the special pricing as the implementation is going on that front, correct?
Will Lansing: We don't really have a schedule for adjusting guidance. The guidance that we give at any point in time is our best estimate of where we're going to be. And so the guidance that we have in place is what we believe to be the guidance.
Jeff Meuler: Okay. And then can you just help me on the application, transaction and maintenance performance in the quarter? It was pretty muted growth, the lowest year-over-year it's been in a while. Just anything about end market transaction activity, timing factors, just any reason why there would be slower growth there?
Will Lansing: I think that, the best way to think about it is it's by design. We are – if you take a step back and you look at the transition that we're making from license on-premise, software business, which was what we were historically and predominantly, and the transition to our future state of multi-tenant, standardized, configurable platform business, there's an in-between stage. And the in-between stage, which is strategically impure, but important competitively, is to be able to provide our solutions in the cloud, even if they're single tenant hosted, even if they're not the end-state software platform that we'd like them to be. And so we are in a migration pattern here, where three of our top five franchises, we've moved to the platform. Two of our top five have not yet moved to the platform. And yet we're not willing to abandon our customer's needs for having some of those solutions in the cloud. And so what we do is we take that business even though it's lower margin business, because we think it's strategic. We want to keep competitors out. We want to satisfy our customers. But the returns to scale really come when those solutions are fully migrated over to the standardized multi-tenant platform. So, the balance we strike in our software business is that there is more business available in this in between space than we care to do. And so we basically – we basically meet the demand that we think is appropriate to meet our strategic customer needs without overdoing it. And that's really how we think about that, call it, a lower revenue growth rate in the short-term.
Jeff Meuler: Got it. And then just last, you've had a competitor call out some, I guess, bookings delays in the U.K. just given the macro concerns, Brexit concerns. Just any comment on, if you're seeing something similar or how the U.K. is going for you? Thanks.
Will Lansing: Not really. Our EMEA business, our U.K. business is fine.
Jeff Meuler: Okay. Thank you.
Operator: And the next question comes from the line of Surinder Thind with Jefferies. Your line is open.
Surinder Thind: Good afternoon. I'd like to start a question about the FICO Score 10 Suite. Can you talk a little bit about the benefit of providing the FICO 10 Score versus the 10T in the sense that at face value, obviously, 10T comes across as a superior score, but then it sounds like FICO 10T was – or FICO 10 was introduced for backwards compatibility? Is that the primary way that clients will be thinking about it? And how should we be thinking about the reason why it's important?
Will Lansing: Yeah, I think that's – that's a good characterization of the difference. So, we have – the goal is always to have a more predictive score and to help lenders make better decisions. We have a kind of a regular cadence of updating our scores every several years. And so FICO Score 10 is right on-time for the update from FICO 9. It is completely backward-compatible. So it's the same reason codes, and although the weighting of some of the factors is different, it can be used interchangeably in some sense with FICO 9. With FICO 10T, we're using different data sets, the trended data, and we've introduced some additional reason codes. And what that does is it makes it not so backwards-compatible, but it does provide better predictiveness for certain kinds of things. So that's the right way to think about it is backward compatibility versus not.
Surinder Thind: Understood, and then, from a -- generally, from a client perspective, how much more, I'll say, effort would be involved, in going to FICO 10T? Because, I assume that will become the new paradigm in terms of -- like you wouldn't have another -- let's say the next-generation without a completely different set of FICO Scores. Because I think you'd obviously want to maintain further compatibility from 10T and beyond, I assume. And so...
Will Lansing: Every lender is different and what you see is different, lenders have different adoption rates for new scores. We still have FICO 9, out there. Obviously, we have FICO 8. We have earlier scores that are still very much in use. And still work just fine. So it's up to the lender to decide at what pace they want to change the scores that they use. Obviously, Fintechs and startups and brand-new customers gravitate to the latest and greatest, which would be 10 and 10T.
Surinder Thind: That's helpful. And then, touching base on an earlier topic about the software revenues, I think you characterized them as, there's some natural volatility. And this quarter, in particular, tends to be the lightest of here. Can you also talk a little bit about perhaps -- and I just want to verify or at least the color that you were providing around. When we think about software margins for the year, is the goal there to keep them essentially flat year-over-year? Or how should we just think about that versus the overall firm-wide margins?
Will Lansing: I think flat is safe. We take it as we go here. We're -- right now, we're trying to focus on matching expenses and revenue growth, so that we don't have big changes in margin one way or the other. Maybe we'll do a little better than that, maybe a little bit worse. That depends on kind of how the factors in the year shake out.
Surinder Thind: And I apologize for -- is that at the firm-wide level or is that at the software level? Sorry.
Mike McLaughlin: That's at the software level. Obviously, the margins -- the incremental margins in the score is very, very different. And our goal is, in the software business, to as I say start to show some improvement there over time. But this year, as we're kind of turning the steering well a little bit there. As Will said, safe -- flat is safe. And we'd be happy if it's better than that.
Surinder Thind: Understood, and then one final follow-up question. I think one of the -- I think the more anticipated product launches is going to be the new Falcon suite towards the end of the year. As you roll that product suite out, how should we think about the strategy around that? Is the idea to migrate as many existing users over to that platform? Or is it to let the natural client upgrade cycle run its course. And maybe target as many new users for that platform as possible? And I think you guys were kind of providing some color around that. But any additional color would be helpful. Thank you.
Will Lansing: Yeah. I would say it's more of the latter. I think that, our customers decide their rate and pace of upgrades. And our software tends to go in and stay in for quite a long time. It has a long shelf life. And so we're not pushing customers to migrate early or quickly. We do it on the pace that they want. If they want to do it right away, great. And if they want to take their time, that's also okay. We -- certainly, for new customers, we're going to be pushing them in the direction of our latest and greatest products.
Surinder Thind: Okay, that's helpful. And that's it for me. Thank you.
Operator: And Mr. Weber, there are no further questions, at present time. I'll turn the call back to yourself. Thank you.
Steve Weber: Thank you. This concludes today's call. Thank you all for joining. Good bye.
Operator: We thank you for your participation. And ask that you please disconnect your lines.